Operator: Welcome to the Edison International's Conference Call. This call will be available for replay at the following numbers; domestic, 877-693-4277; international, 402-220-0042. You will need to use the pin code, 11600, to access today's call. For your information, this call is being recorded. Also we want to advice you that Edison International is holding a simultaneous webcast of this conference call. This will be on the company's website in a listen-only mode for interested parties. When the conference begins, you will be on listen-only and there will be a chance for questions and answers at the end. [Operator Instructions]. At this time, I would like to introduce your host, Scott Cunningham, Vice President of Investor Relations with Edison International. Thank you and have a good conference. Go ahead, Mr. Cunning.
Scott Cunningham - Vice President, Investor Relations: Thanks very much and good morning, everyone. This morning our principal speakers will be John Bryson, Chairman and CEO; and Tom McDaniel, Executive Vice President and Chief Financial Officer. The presentation that accompanies Tom's financial review together with the earnings press release and our first quarter 10-Q filings are available on our website at www.edisoninvestor.com. During this call, we will make forward-looking statements about 2008 and longer-term financial outlook, both for Edison International and certain subsidiaries, and about other future events. Actual results could differ materially from current expectations. Important factors that could cause differ results are set forth in our 2007, Form 10-K and other SEC filings, which we encourage you to read carefully. The presentation also includes additional information including certain guidance assumptions as well as reconciliation of non-GAAP measures to the nearest GAAP measure. With that, I'll turn the call over to John Bryson.
John E. Bryson - Chairman and Chief Executive Officer: Thank you, Scott, and good morning to all of you on the floor. And by now you will have seen most of you… the release and disclosures we put out earlier today. We’re off to a good start in 2008, solid first quarter performance and with an earnings outlook nor for the year, has moved to the upper end of our previous guidance range. Tom McDaniel will provide further detail on that. Our comment in these opening remarks on a few key developments during the first quarter, first is Southern California Edison. In the aggregate, we continue to see the 12% plus compound growth in earnings assets that we've identified in the past and we see that for now over the next five years, 2008 through 2012. We’ve talked with you in past about the importance of the Southern California Edison general rate case. That is the single largest element that, if you will… that will be required to authorize the single largest element in our forward five-year investment plan at Southern California Edison. Hearings began at the end of this month. The case remains on track now for a preliminary decision in November and a final decision in December of this year. The rate case filing is fully consistent with the California public policy, it is fully consistent with California Public Utilities Commission precedent, in these cases for Southern California Edison, for example, and most importantly it is consistent with the 2003 and the 2006 test year decisions of that commission. It is also consistent with our customers’ need for reliable power, and we continue to expect a positive outcome. Turning then to another important regulatory issue, and I know at least a number of you are aware of this. Last week a California commission administrative law judge issued a preliminary decision in the new multi-year cost of capital proceeding. This proposed decision not yet filed at the administrative law level… judge level decision, that proposed decision provides for a three-year forward return on equity that could be adjusted over the three-year period, higher or lower if there is significant movements in benchmark utility interest rates each year. Those adjustments, if any are triggered, would be from the baseline of the most recently approved return on equity at Southern California Edison and you know that is 11.5%. In the absence of hitting any of the trigger marks under the proposed formula, the Edison return on equity would remain at the allowed ROE of 11.5% through 2010. And as you can see, if finally approved by the PUC, the proposed decision will provide longer-term predictability for Southern California Edison, both on ROE and on the capital structure. Final decision on that could be issued by later this month. And then, let me turn to a major initiative, the Southern California Edison, $875 million rooftop solar program. That's a five-year program. We announced it in late Mach. The Governor joined us… the Chairman of the Commission, Mike Peevey joined us on this initiative. It is a meaningful breakthrough in cost and scale, and the initiative will bring online over the next five years 250 megawatts of solar generation, this is photovoltaic generation. It will be done by installing solar cells on large warehouse distribution rooftops… so huge facility rooftops in the inland sunny areas east of Los Angeles County. 250 megawatts, just to provide all of you some sense of scale, is more than 10 times larger… the largest solar cell project operating in the world today. And the asset scale and for other reasons, we anticipate significant cost reduction relative to the cost of photovoltaics under the current California solar photovoltaic initiative that we see about having the cost of what's been done to date in California with this program. You may recall, the California Commission just for some time urged California Utilities to undertake this sort of initiative and has offered to provide 100-basis point higher returns on initiatives like this than our offered [inaudible] utilities. Let me turn briefly then to the Edison Mission Group, we continue there to benefit from our existing strong merchant positions in Illinois and Pennsylvania. We're also moving forward our newer energy initiatives. Let me start there with wind, and principally comment on wind. In the renewable area, the program moves forward. At the same time, and we discussed this in our last call, we're working with Suzlon on roof cost analysis of the turbine blade issue that has arisen with regard to the Suzlon machines. In this quarter, most significantly two projects totaling nearly 110 megawatts have begun commercial operation. That brings the total of our wind projects actually now in operation to 675 megawatts. We have another 340 megawatts in construction. And then taking things just a little further again, our development team announced last week with the Governor of Nebraska the construction of an 80-megawatt wind project known as the Elkhorn Ridge project, which we've been awarded a 20-year PPA within Nebraska Public Power District. And one other matter, in March Edison Mission Energy was awarded as the successful bidder… a successful bidder in Southern California Edison’s most recent RFP, a contract for a gas-fired peak, that is a 10-year, 479-megawatt contract for a peaking facility to be constructed here in our utility service territory and the city of… industry. We foresee construction costs in the range of $500 million to $600 million on that project. Well, I’ll stop there and simply summarize that we continue on a solid path to deliver projected 2008 results and even more significantly to meet the growth powered by projections that we’ve put out for the next five years. So with that, I'll turn the call over to Tom McDaniel.
Thomas R. McDaniel - Executive Vice President, Chief Financial Officer and Treasurer: Thank you, John, and good morning everybody. Today, I am going to cover our first quarter earnings performance and update you on Edison Mission Group's operations and hedging programs. I will also comment on the liquidity position of the EIX entities and conclude with comments on 2008 guidance. Throughout my discussion, I will refer to the teleconference presentation located on our website. And if you could all turn to page two, our first quarter earnings summary, I will begin my comments. Reporting earnings… reported earnings were $0.91 per share for the first quarter of 2008 compared to $1.01 per share for the same period last year. The first quarter 2007 had a favorable impact of $0.10 per share related to a tax item associated with the treatment of environmental remediation costs at SCE and $0.01 per share from discontinued operations at EMG. Excluding these items, earnings were $0.92 per share, up $0.02 per share over last year. Keep in mind that quarterly earnings reported during the year are generally more heavily weighted to the third quarter, reflecting the impact of the summer months. For SCE, warmer summer weather combined with how [inaudible] our design produces generally higher base rate revenue and operating margin during the third quarter of each year. Similarly, for EME the summer generating season combined with its open [inaudible] position tend to make EME's third quarter the most significant of the year. A look back at the earnings contribution by quarter over the past few years gives a reasonable indication of the summer season impact related to the other quarters within the year. Now, let's look at the first quarter results on a company-by-company basis, please turn to page three. First, beginning with SCE, core earnings were $0.46 per share compared to $0.45 per share last year. Operating margin was essentially flat, with the increase mainly due to lower net interest expense. EMG's core earnings of $0.49 per share were also up $0.01 from the first quarter of last year. Going to the piece parts for EMG, both Midwest Generation and EMMT contributed positively to earnings for the quarter. Midwest Generation was up $0.12 per share, mainly due to higher gross margin, contributed $0.05, a gain on the buyout of the legacy coal contract of $0.03 and lower interest expense of $0.04 resulting from our 2007 refinancing activity. Let me pause for a moment because it's not intuitive that the buyout of the legacy coal contract, given where coal prices are today, is something that we should be doing. This is a contract that we inherited from ComEd. The quality of the coal and its specifications really did not work well within our units and was not effective or efficient for us. And so, we have been working for some time to relieve ourselves of that obligation, and in doing so we did it in a more favorable cost than what we had reserved for. Turning back to Midwest Generation then, Midwest Generation's higher gross margin, as the $0.05 includes lower unrealized losses in 2008 related to FAS 133, that’s $0.03 per share, and higher realized energy prices of $0.02 per share. Midwest Generation's output was lower for the quarter, primarily related to the Powerton Station unit's fixed outage reported last quarter. Net outage extended into the first quarter of this year. The unit went back into operation in mid-February. In addition, the delivery cost of coal was higher for the quarter, primarily related to the roll-off of certain contracts. EMMT experienced a good first quarter in 2008 with pre-tax trading margin of $41 million compared to $26 million during the same period last year, an increase of $0.03 per share. Several EMG items reduced quarter-over-quarter earnings comparisons. First, Homer City earnings were down $0.02 mainly due to lower realized energy prices, and lower generator rating, as capital is down $0.03 due to lower gains from this global infrastructure fund investments. Project income was down $0.03 per share, largely due to lower earnings from the Sycamore and Watson projects, two of our Big Four, which have been operating under new market-based contracts since the beginning of the year and this is something that we did highlight with regard to our guidance. Finally, corporate interest in G&A expense were up collectively $0.06, primarily due to higher interest expense at the EME level debt as associated with our refinancing last year, and a step-up in our growth initiatives at EMG. Next, I will be discussing the operational metrics for Midwest Generation, so if you could turn to page four. Generation was down 2.9% at Midwest Gen for the first quarter of 2008. This was largely due to the forced outage at Unit 6 at the Powerton station that I mentioned previously, and this outage shows up in the lower availability for the fleet for the quarter and higher forced outage rates as compared to the first quarter of 2007. Turning to the right side of that page, all-in average realized prices increased 7% for the first quarter compared to last year due to higher real-time prices. Turning to page five, for Homer City, total generation was lower by 3.1% compared to the first quarter last year, mainly due to a higher forced outage rate and lower off-peak dispatch. In the right side of the chart, all-in average realized prices decreased 2% for the first quarter of… compared to last year, primarily due to the roll-off of higher priced power hedges. Turn to page six, this page summarizes our regular hedge positions for both power and coal in Midwest Generation and Homer City. There were no changes to these positions since we reported in fourth quarter. As you will note… can note that for Midwest Generation we're in essentially a hedge neutral or 50% hedged positions for the balance of 2008 and to slightly lesser hedged position in 2009 and 2010. We are substantially hedged for a fuel costs including both coal and rail at Midwest Generation through 2009. At Homer City, we are also about this hedge neutral position for the balance of 2008 and to a lesser-hedged position in 2009 and 2010. Our coal requirements are large hedged for Homer City through 2009, and this positions us well, as John said, to capture the higher market prices that we're currently seeing if they prevail through the balance of the year. On page seven, you will see our liquidity positions remains strong and backed by a well-diversified banking group for EIX as a whole. We ended the first quarter with overall committed credit facilities of $5.1 billion, which extend through 2013 through [ph] EIX and SCE and through 2012 for EMG. These where negotiated last year and expanded at favorable pricing terms, and we're very pleased that we did that relative to what we might experience today. So, liquidity including cash and short-term investments is $5.9 billion. Turning to page eight, as we said in our press release this morning, we are reaffirming our 2008 core guidance range. We establish a fairly broad range at the beginning of the year because of the volatility of power prices and the commensurate impact on the revenue and margin associated with the unhedged component of EMG merchant generation. Power prices have been trending upward. Based upon current favorable forward market prices, we expect EMG's earnings to be around the high end of the range, and consequently EIX's core earnings to be around the high end of the $3.61 to the $4.01 per share guidance range. Our core guidance is based on the key assumptions, in fact as we reviewed in our February call and are showed on the slide. And one last item I want to update you on our tax matters related to our Edison Capital leveraged lease portfolio. We have updated our 10-Q disclosure that was released this morning. Let me run through what we have included since we've had a number of questions on this area during the week. The 10-Q provides an update to our 2007 10-K regarding the status of several cases involving other taxpayers to reflect two legal developments involving commercial [inaudible] that occurred in April. This is the only current court decisions points involving these types of transactions. And as required by GAAP accounting, each quarter we reduce significant events to determine whether our accounting or disclosures should be revised. We have done so, and we continue to believe that we have profitably recorded these transactions based on applicable statutes, regulations and case law. As a result, we recorded deferred taxes associated with [inaudible] of about $1.6 billion as reflected in the 10-Q. The $1.6 billion cumulative tax deferral is updated annually based on the filing of our tax returns, and last year it increased by $54 million. We do not expect this deferred tax amount to grow materially in the coming years, given the age of our leased portfolio. The after-tax accrued interest is updated quarterly, and that was $557 million at end of the first quarter compared to $525 million at the end of the last year. Finally, we are engaged in settlement discussions on a number of issues with the Administrative Appeals Branch of the IRS for certain open tax years, which include these issues. As a result of these discussions, we are limited in commenting about future outcomes beyond the disclosure we have in our 10-Q. And with that, we will move to the formal Q&A part of the call. Question and Answer
Operator: [Operator Instructions]. Our first question comes from the line of Paul Fremont with Jefferies. Please proceed.
Paul Fremont - Jefferies & Co.: Thank you very much. In looking at the power price improvement, particularly in the Midwest Gen fleet for the quarter, it’s… aside from higher natural gas prices, it looks as if you're basically getting market heat rate expansion, which I would guess is coming from higher coal cost in the off peak hour. So, I guess my question is can you discuss where the pricing improvement is coming from in the quarter?
Thomas R. McDaniel - Executive Vice President, Chief Financial Officer and Treasurer: I think the easiest way to really capture that for us is in our load factor, and as you can see on the chart on page four, that load factor has improved from around 81% in the first quarter of 2007 to 85% this year, and most of that would be coming from the off… in the off peak hours.
Paul Fremont - Jefferies & Co.: And is that… should we look at that as the major driver of your confidence in the higher end of your guidance range?
Thomas R. McDaniel - Executive Vice President, Chief Financial Officer and Treasurer: Two things, obviously the higher forward prices, and that's really the predominant thing, and then the higher utilization of the Midwest Gen particularly.
Paul Fremont - Jefferies & Co.: Thanks.
John E. Bryson - Chairman and Chief Executive Officer: Higher prices are the big driver. Next question?
Operator: Thank you. Our next question comes from the line of Hugh Wynne with Sanford Bernstein. Please proceed.
Hugh Wynne - Sanford C. Bernstein: I also wanted to ask about Edison Mission. I'm concerned about the extent of the outages. You had forced outage rates of 11.8% at Midwest Generation, 9.5% at Homer City and of course that diminished your ability to capitalize on this favorable pricing environment. Are there issues arising with the fleet that are reflected in these outage rates or is this simply just a coincidence that you happened to have two major outages that’s at the two ends of the fleet during the quarter?
John E. Bryson - Chairman and Chief Executive Officer: I'd like to have Ron Litzinger, the new CEO of Edison Mission Energy, comment on that.
Ronald L. Litzinger - Chairman, President and Chief Executive Officer, Edison Mission Group: Yes. If you look at our historic outage rates, they are sort of in the range, the typical historical range for private coal recurring types of outage causes. We have had some one-off events, which are part of the business, the powers and outage, with the duct failure and we will just continue to monitor our forced outage rates and plan our maintenance capital accordingly.
Hugh Wynne - Sanford C. Bernstein: So, you don't view this outages as extraordinary, but still within the range of a normal rate of occurrence?
Ronald L. Litzinger - Chairman, President and Chief Executive Officer, Edison Mission Group: Yes.
Hugh Wynne - Sanford C. Bernstein: Okay. Second quick question if I could, the realized prices at both ends of the fleet, Illinois and Pennsylvania, were significantly below the average prices prevailing at nearby hubs. And I imagine that that is going to allow you to increase realized prices over time as a result of the roll-off of hedges. On the other hand, you've got a coal contract apparently of some 4 million tons that appears to fall away in 2010 at Homer City and that presumably would have to be renewed at much higher prices. I was wondering in light of those two big trends if you could you just give us a comment on the longer-term outlook, say, over the next two or three years for generation gross margin across the fleet?
John E. Bryson - Chairman and Chief Executive Officer: Well, let me have Jim Scilacci comment on that. But kind of the foundation, we have looked to make sure that we are matched up on both the fuel and the power side so that we aren't exposed unduly to margin capture that we think we might have. And so as you take a look at the hedge position for 2009 and 2010, you can see that we are kind of balanced on the right side. So the legacy coal contracts that we have we think are… position us well and then we will look to market conditions to fill out the hedge book as we see most appropriate. But the important thing is that we want to make sure that we don't get out of balance and get our power hedges in front of our coal hedges.
Hugh Wynne - Sanford C. Bernstein: Excuse me, does that mean that you foresee rising or declining margins?
John E. Bryson - Chairman and Chief Executive Officer: Well, it's really going to be a function of where prices move, but obviously what we would look to do is to lock in the margin at the most favorable point that we think we can.
Hugh Wynne - Sanford C. Bernstein: All right. Thanks.
Operator: Thank you. Our next question comes from the line of Michael Lapides with Goldman Sachs. Please proceed.
Michael Lapides - Goldman Sachs: Hi, guys. With rail… can you talk about how much of the rail contract of Midwest Gen rolls off between '09 and '10 and then '10 and '11, and then just kind of what you're seeing macro level in terms of pricing lately from the PRB into the Midwest?
John E. Bryson - Chairman and Chief Executive Officer: Well, none of it rolls of '10, '11. It’s after '11 that that contract expires, and I don't know that we can comment at all about what we are seeing in terms of rail pricing. We are really taking into consideration what we see is the long-term, but most importantly focusing on what our head position is as I said earlier and making sure that we are matched up, if… should we decide to extend our hedges out beyond 2011 time frame.
Michael Lapides - Goldman Sachs: Got it. Okay, thank you.
Operator: Thank you. Our next question comes from the line of Dan Eggers with Credit Suisse. Please proceed.
Daniel Eggers - Credit Suisse: Hi, good morning. First question for you I guess is on the leveraged lease situation. Is there no obligation for you guys to go into a litigation situation as Peg [ph] talked about on their earnings call, and any kind of view as to when you will have final resolution on this?
John E. Bryson - Chairman and Chief Executive Officer: As we stated in our disclosures that really we’ll make a determination on litigation based on how we perceive the outcome of our settlement discussions, and that's really the driving factor. And there is really no time frame that has been established around when we might come to kind of the finish line in terms of those discussions.
Daniel Eggers - Credit Suisse: Okay. On the wind business, view on when you're going to have the Suzlon blade issue resolved, and are you are running any Suzlon turbines right now?
John E. Bryson - Chairman and Chief Executive Officer: Yes, let me have Ron Litzinger comment on that.
Ronald L. Litzinger - Chairman, President and Chief Executive Officer, Edison Mission Group: Yes, we do have version 2 of the Suzlon blades, the ones that are having a cracking in operation at our operating facilities. The individual turbines that have cracked are taken out of service, but with an inspection program we continue to run the turbines that are not currently cracked. We are working with Suzlon on both the technical front to determine the root cause analysis and on commercial discussions and those are progressing satisfactory at this time.
Daniel Eggers - Credit Suisse: Okay. I guess the last question is from a hedging strategy prospective, without adding any hedges in the quarter, kind of thought process behind that strategy, given the move on commodity prices and kind of how we should think about layering in hedges for 2009 as we progress through the rest of this year?
John E. Bryson - Chairman and Chief Executive Officer: Yes, let me let Jim Scilacci cover that.
Jim Scilacci - Senior Vice President and Chief Financial Officer, Edison Mission Group: Clearly, what we'd like to do is roll forward our hedges at appropriate times, and we like to match up a forward still color and make sure we've got the coal, the coal transportation and the emissions synced up at the same time. It doesn't… we don't typically do it simultaneously, but we try to broaden and get it within the same time period, so you have clean and clear hedges. And we will roll forward as we see a market opportunities present themselves. And clearly, the prices have been up and we are looking at the market constantly trying to evaluate when the best time to jump in would be.
John E. Bryson - Chairman and Chief Executive Officer: Dan, we traditionally don't really provide an outlook on our hedging activity, that is really proprietary, but we do report on what we have done at the end of a quarter.
Daniel Eggers - Credit Suisse: Just from a... given the move in power prices and the move in coal prices, is it the fact that coal prices [inaudible] maybe left you guys on the sidelines or is it just some kind of an--?
Jim Scilacci - Senior Vice President and Chief Financial Officer, Edison Mission Group: Okay. This is Jim Scilacci. Clearly, we have been watching the elements here and the rapid rise in coal price is a factor we have been considering. Well, there are other factors too. We are in pretty good shape from… our perspective from Midwest Gen for '08 and '09 and there is a factor that gets into you… in terms of liquidity, and you want to make sure that you roll forward carefully and we typically go out a couple of years, that provides in stress cases sufficient liquidity, things move up unexpectedly that you have the cash to cover the margin calls when they occur. And as you recall, we have been talking about it the last couple of quarters. We've worked hard at Midwest Gen to put a facility in place that going forward when we hedge, that we don't need to provide actual cash or letters of credits that we've been offered a lien on Midwest Gen. So that reduces our liquidity. So again, that provides additional flexibility. In theory, we can go roll forward in a longer period of time if the market opportunities present themselves.
John E. Bryson - Chairman and Chief Executive Officer: Yes. I think the important point here is that we've done a lot of work to position ourselves to capture higher market prices, and we are pleased with what we see in the market today.
Daniel Eggers - Credit Suisse: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Mark Seigel with Canaccord Adams. Please proceed.
Mark Siegel - Canaccord Adams: Hi, good morning. Just with respect to your AMI program at SCE, assuming a final rate case decision in the December time frame, do you guys feel comfortable with your previously disclosed deployment schedule for about 1.4 million meters in '09?
John E. Bryson - Chairman and Chief Executive Officer: Yes, this is… Al Fohrer will take that.
Alan J. Fohrer - Chairman and Chief Executive Officer, Southern California Edison: Yes, we do.
Mark Siegel - Canaccord Adams: Okay. Thanks. That's all from me.
Operator: Thank you. Our next question comes from the line of Hugh Wynne with Sanford Bernstein. Please proceed.
Hugh Wynne - Sanford C. Bernstein: I was wondering if you might comment on what contingency plans you have in place in the event the IRS were to prevail and the litigation on the leases to make those tax payments, which you had previously deferred as well as any interest in penalties, I understand the amount could be something like $2.4 billion at a maximum, and I was wondering how you would drawn down your lines and deploy your cash to meet the claim that began to approach the scale?
Thomas R. McDaniel - Executive Vice President, Chief Financial Officer and Treasurer: Yes, we feel that in the event that we would have to raise the capital that we have sufficient liquidity to be able to support that. Of course, that is sometime down the road. And certainly, we could look at the cash flows within the leases also to be a source of funding.
Hugh Wynne - Sanford C. Bernstein: Thanks.
Operator: Thank you. Our next question comes from the line of Paul Patterson with Glenrock Associates. Please proceed.
Paul Patterson - Glenrock Associates: Hi, can you hear me?
John E. Bryson - Chairman and Chief Executive Officer: Yes.
Paul Patterson - Glenrock Associates: The Beaver Valley II lease that you guys are doing the buyout on, is the 20 million after-tax that we are seeing and is that in the second quarter?
Thomas R. McDaniel - Executive Vice President, Chief Financial Officer and Treasurer: That’s $20 million after tax and of course that's just an estimate that we're in discussions right now with them as to what the appropriate value would be associated with their buyout option.
Paul Patterson - Glenrock Associates: Okay, but that is what… that's been guidance… that's the… roughly the number that is in guidance I guess?
Thomas R. McDaniel - Executive Vice President, Chief Financial Officer and Treasurer: Well, that wouldn't be in guidance because that is… it’s an uncertain result right now. We have identified it because we are in discussions with them, but it has not been concluded.
Paul Patterson - Glenrock Associates: Okay, so that will be outside the guidance?
Thomas R. McDaniel - Executive Vice President, Chief Financial Officer and Treasurer: As it relates to Edison Capital.
Paul Patterson - Glenrock Associates: Okay. And the company as a whole I guess is [inaudible]?
Thomas R. McDaniel - Executive Vice President, Chief Financial Officer and Treasurer: I guess so.
Paul Patterson - Glenrock Associates: Okay. And then with Homer City, what was the reason for the demand decreasing off-peak?
John E. Bryson - Chairman and Chief Executive Officer: It's probably a function of coal prices, they're more influential in the off-peak hours than gas prices, so market had to adjust those.
Paul Patterson - Glenrock Associates: Okay. So coal prices being higher, decreased demand for power in the off-peak, is that what you're saying?
John E. Bryson - Chairman and Chief Executive Officer: I think the demand is the same, it's probably in just the way units are dispatched and the way they did end with the moving coal prices.
Paul Patterson - Glenrock Associates: Okay. So the generation from Homer City was less valuable because of the higher coal prices, and therefore… okay, I got you. Okay, some of your dispatches. Okay, then finally on the total liability of $1.6 billion in the leveraged leases, outside of actual liability, it sounds like you're not really booking much in the way of any tax benefits going forward. So am I right to assume that if… assumed… aside from the cash cost of any issue associated with any potential liability in that area, going forward if this program would end or what have you, would it have happen to be ongoing earnings impact outside of that, is that right?
John E. Bryson - Chairman and Chief Executive Officer: Let me address it in two ways. Yes, I mentioned in terms of the increase in deferred taxes that we would book because of the composite nature of the lease portfolio, we wouldn't look to see that grow. What would grow would be the interest associated with that deferred tax balance going forward. We're experiencing some incremental income from one of the leases that we have, which is the Suzlon lease that drops down over time.
Paul Patterson - Glenrock Associates: Then how much would that be, just roughly speaking, the increment tax associated with that going forward?
John E. Bryson - Chairman and Chief Executive Officer: Yes, really immaterial, it’s not a significant number.
Paul Patterson - Glenrock Associates: Okay, great. Thanks a lot.
Operator: Thank you. Our next question comes from the line of Andrew Levi with Brencourt. Please proceed.
Andrew Levi - Brencourt Advisors: Hi, guys. Just not beat a dead horse, but just one more question on the leases. If settlements… you haven't taken a reserve yet, right?
John E. Bryson - Chairman and Chief Executive Officer: We have no reserves.
Andrew Levi - Brencourt Advisors: So if settlement talks aren't successful, are your accounts going to make you take a reserve?
John E. Bryson - Chairman and Chief Executive Officer: Well, if the settlement talks are not successful, we would have to make a determination at that time--.
Andrew Levi - Brencourt Advisors: But wouldn’t your accounts make the determination for you?
John E. Bryson - Chairman and Chief Executive Officer: They--.
Andrew Levi - Brencourt Advisors: It's not your decision, right, it's really your accounts, right, or am I incorrect on that?
John E. Bryson - Chairman and Chief Executive Officer: Yes. Based on the technical merits associated with what the elements in the settlement were, that would dictate whether or not we had to take a write-off or a reserve.
Andrew Levi - Brencourt Advisors: Thank you.
Operator: Thank you. Our next question is a follow-up question from the line of Paul Fremont with Jefferies. Please proceed.
Paul Fremont - Jefferies & Co.: I guess there was a more recent decision in California to require cooling towers as the best technology available for discharge. With respect to San Onofre, I guess you'd have all the way until ‘20, ‘21 to install cooling towers. Can you give us a sense of timing there?
Alan J. Fohrer - Chairman and Chief Executive Officer, Southern California Edison: Well, this is Al Fohrer. The whole cool area of when to start [ph] cooling is still under discussion in terms of what it means, what the impacts are, and there are no final decisions at this point.
Paul Fremont - Jefferies & Co.: Also, is there a cost estimate as to what it would cost to build a cooling tower there?
Alan J. Fohrer - Chairman and Chief Executive Officer, Southern California Edison: No, it's premature to speculate on what they are going to require at what plans, and how they view the whole thing. This is just a very fluid discussion right now among all the parties at this stage.
Paul Fremont - Jefferies & Co.: Thank you.
Operator: Thank you. Our next question comes from the line of John Sohain [ph] with Citigroup. Please proceed.
Greg Gordon - Citigroup: Actually it's Greg Gordon. How you're doing?
John E. Bryson - Chairman and Chief Executive Officer: Hi, Greg.
Greg Gordon - Citigroup: You made a comment earlier as you were being bombarded with questions on the leases that one of the scenarios, should you be in a position where you have to pay the IRS, would be to use the cash flows coming off the leases. Could you give us a little more of an explanation of how the leases might be able to… the value of the leases or the future cash flows of leases might be able to potentially fund some sort of payment?
John E. Bryson - Chairman and Chief Executive Officer: Yes, the leases… I mean the decision surrounding this would accelerate payment. That would… tax payments that would be taken into consideration or are taken into consideration through the lease structure. In other words, the leases are totally self-contained. And so the cash flows that would remain under the leases could be used to secure funding to help us meet some of that obligation.
Greg Gordon - Citigroup: And so, basically what would happen is the earnings contribution from the leases would dissipate as you make the financing out against the value of the leases, is that the right way right way to think about it or is that incorrect?
John E. Bryson - Chairman and Chief Executive Officer: Well, I mean the earnings structure under the leases would be predominantly back-end loaded. Obviously, we would experience a drag associated with the financing in the earlier years.
Greg Gordon - Citigroup: Okay, thank you.
Operator: Thank you. There're currently no additional questions waiting from the phone line.
Scott Cunningham - Vice President, Investor Relations: All right. This is Scott Cunningham. We want to thank very much for participating in the call today.
John E. Bryson - Chairman and Chief Executive Officer: Well, I'd like… well, before we close off the call, I do want to reemphasize that in our judgment, our legal positions that support our leases and the issues that we are contesting with the IRS are strong, and we remain behind that position.
Scott Cunningham - Vice President, Investor Relations: Thanks very much. Please don't hesitate to call if you have any follow-up questions. Have a good day.